Operator: Hello, and welcome to the Nauticus Robotics Earnings Conference Call for the Second Quarter ended June 30, 2023. My name is Maria, and I will be your operator today.  Today's press release, including the financial tables, are available at the Investor Relations section of the company's website at www.nauticusrobotics.com. The company also plans to file its Form 10-Q with the SEC later today.  Joining us on today's call are Nauticus' Founder and CEO, Nic Radford; and its CFO, Rangan Padmanabhan. Following their remarks, we will open the call for questions.  Before management begins their formal remarks, we would like to remind everyone that some statements we're making today may be considered forward-looking statements under securities law and involve a number of risks and uncertainties. As a result, we caution you that there are a number of factors, many of which are beyond the company's control, which could cause actual results and events to differ materially from those described in the forward-looking statements.  For more detailed risks, uncertainties and assumptions relating to the forward-looking statements, please see the disclosures in the company's earnings release and public filings made with the SEC.  Nauticus disclaims any obligation or undertaking to update forward-looking statements to reflect circumstances or events that occur after the date the forward-looking statements are made, except as required by law. Nauticus will also discuss non-GAAP financial metrics and encourage you to read its disclosures and the reconciliation tables to applicable GAAP measures in the earnings release carefully as you consider these metrics.  We refer to you to its filings with the SEC for detailed disclosures and descriptions of the business as well as uncertainties and other variable circumstances, including, but not limited to, risks and uncertainties identified under the caption Risk Factors in the company's filings. You may get Nauticus' SEC filings for free by visiting the SEC website at www.sec.gov.  I would like to remind everyone that this call is being recorded and will be made available for replay via a link available in the Investor Relations section of Nauticus' website.  Now I'll turn the call over to Nauticus' Founder and CEO, Nic Radford. 
Nicolaus Radford : Good morning, everyone, and welcome to our second quarter 2023 earnings call. The second quarter was a transitional quarter for Nauticus as we move closer to the commercial launch of the Nauticus Fleet. We made significant progress finalizing our fleet production and in the commissioning of our first second-generation Aquanaut. Our excitement about the market application for this revolutionary autonomous robot is high, and customers seem to share our feelings as demand signals are increasing.  During the quarter, we signed commercial deals with leading energy companies such as Petrobras, Shell, and our Norwegian partner Stinger for Equinor. We are actively working in engagements with other household named customers. These energy companies spend hundreds of millions of dollars a year for this type of work that Aquanaut can do. So the opportunity set ahead of us is significant.  During the quarter, we also transitioned to the next phase in a couple of our defense programs. While it's always great to advance to future phases, sometimes there's delays in new contract authorizations. That impacted us in Q2, which is why our government sourced revenue was down during the quarter. We view this as a temporary dip, and we expect to see revenue rebound in the current quarter.  Let's start with the progress we're making on the commissioning of the Aquanauts. We've had our first new production unit in the water doing commissioning exercises and it's logged more than 100 hours offshore to date. I was just up in Vancouver to oversee some of the work, and I can tell you firsthand that our robots will be able to do some amazing things for our customers. Assembly is nearing completion on the other two of Aquanaut units, and we still expect to have them both in the water later this year.  So let's start with Petrobras. This was competitively awarded to Nauticus and ranks as one of a large contract of its kind to date. Aquanaut, our flagship autonomous subsea robot will be deployed in Petrobras' offshore activities in one of the world's most active offshore energy basins. At Petrobras' Jubarte Field, Aquanaut will perform in-field inspection services using toolKITT, our supervised autonomous software technology.  While the initial contract for Petrobras was approximately $4.3 million, just over 60 days' worth of work, the market opportunity for Nauticus in offshore Brazil is much larger. Our success in winning this initial award places Nauticus a relevant player for potential subsequent awards and a market worth over $100 million a year. While no company ever wins 100% of any market opportunity, you can see the size of some of the opportunities we're chasing.  We have also recently signed contracts with Shell and with our partner Stinger for Equinor. Both contracts will utilize Aquanaut, but will require very different tasks highlighting the flexibility of our offering. For Shell, Aquanaut enables contact cathodic protection, and pick and place of their subsea tools. For Equinor, the project will utilize Aquanaut's advanced perception system to detect leaks in novel ways.  Our government division also continues to progress and as such, we've recently incorporated a wholly-owned subsidiary, [NautiWorks], to better serve our government customers. We wish we could give you more details on some of these projects. We're working, but they're confidential, and we absolutely think they will save lives and enhance national security.  As we've discussed previously, some of our programs are nearing an inflection point, where revenues could be materially higher. Hopefully, we'll be in a position to comment more later this year.  Lastly, before I turn the call over to Rangan to cover the financials for the quarter, I'd like to comment on our financing plans. Here at Nauticus, we're trying to reshape the industry. And we think our autonomous service offering will have a hugely positive impact on our customers' costs, safety, and the environment. In order to do this, we need to build our fleet.  To help finance this, we're currently finalizing commitments for an additional $15 million of non-dilutive capital from the existing equity investors, of which $5 million has already been funded in July, and the balance is expected to close shortly. We are also in active discussions with investors for a second round, a larger round of capital, which will support our service offering expansion.  With that said, I'll turn the call over to our CFO, Rangan, to discuss our financials. Rangan? 
Rangan Padmanabhan : Thank you, Nic, and hello, everyone. For the second quarter, we generated revenue of $1.1 million compared to $2.8 million in the year ago comparable period. The decrease in revenue was primarily due to delays in contract authorization with government entities. Our net income for the quarter was $0.49 per share compared to a net loss of $0.35 per share in the prior year period. The increase was primarily due to the positive impact of the change in the fair value of warrant liabilities.  Excluding nonrecurring items, our adjusted net loss per share for the quarter was $0.20 compared to $0.35 in the prior year period. Our adjusted net loss excludes the $29.7 million gain in fair value of warrant liability. The increase in value resulted from a determination that dilution caused by our existing convertible notes was less likely given the financing plans that Nic discussed.  Moving on to our balance sheet and capitalization. As of quarter end, we had $4.6 million of cash and cash equivalents, including our restricted CD. Our net working capital position at the end of the quarter was $11.7 million. These numbers do not include the financing options that Nic spoke about.  And the operator also mentioned mistakenly that we are filing later today, we're actually filing on Monday. I just wanted to clear that up.  That completes my financial summary. Now I'll turn the call back to Nic. 
Nicolaus Radford : Thanks, Rangan. At Nauticus, we're trying to bring real change into the ocean economy, and real change is not easy, but I'm optimistic we can accomplish our goal. We employ some of the best minds in the industry and we're positioned with the right product at the right time to disrupt this multibillion-dollar market. Demand from both commercial and government customers is high. And as we start working through some of the early contracts, we expect more substantial ones to follow, driving significant future growth for our company.  We know funding has been a concern for the market, which is why we've been working diligently to secure capital. While we can't give additional details at this time, we expect to provide an update to the market later this quarter.  This completes our prepared remarks, and now we're ready for your questions. Operator. 
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Brian Dobson with Chardan Capital Markets. Please proceed with your question. 
Brian Dobson : Hi, good morning. Congratulations on the recent program wins. If you can share some early feedback from those awards? And do you believe these contracts will generate momentum for new business going forward? 
Nicolaus Radford : Yes, Brian, good to hear from you. And are you referring to just in totality or the commercial or the government side? 
Brian Dobson : First, the commercial side, and then I have a question on the government side. 
Nicolaus Radford : Yes, sure. With regard to Shell. We've been working with Shell. We've disclosed that now for some time and as we've progressed through their different stage gates, the culmination has been moving from the trial type of activities to real live offshore assets. And so that's what we're doing for Shell currently. That's what we'll be performing for them later this year. And based on the successful outcome of that, we are currently negotiating additional follow-on work. So we are, I'd say, hopeful that pending the successful performance that this opens up -- visibility into larger, more longer-term contracts.  So as we said earlier, we're in this inflection point, we're finally now realizing all the a priori benefit from all of our hard work with our preproduction prototypes and now as we move into our production units, we're now winning work for them to accomplish. And since we have little operating history, it goes without saying that a lot of our contracts are more contingency, right? We do well and then that unlocks future contracts. And honestly, I think it's to be expected.  But we've had very positive perception, as we mentioned, both Petrobras, Shell, and now with our partner, Stinger for Equinor in Norway, it's going to be a pretty active fall in Q1 for us. 
Brian Dobson : Excellent. Thanks very much. 
Nicolaus Radford : Yes. And on the defense side, and I apologize, there's an airplane flying right overhead. On the defense side, we've continued performing in the current contracts and so there's all follow-on activity, right? And a lot of it has to do with us using toolKITT, the software package that we have. It's platform agnostic, so in some instances, they really like Aquanaut and things that come from that. In other instances, they want us to repackage toolKITT for already existing assets owned by the services. And so we're continuing to perform in both those contracts. We've successfully completed the stage gates. I think it's a good indicator of the health of our technology and the performance of our team. And again, I'm just going to stress this is an inflection point year for Nauticus and we're starting to now see the compounding effect of the last years' worth of efforts and as we look forward into next year. 
Brian Dobson : Excellent. And regarding your new subsidiary, [NautiWorks], should we pick that up as course of source? And how will that be reported? 
Nicolaus Radford : Yes. So obviously, we hit inspiration from stockworks and it's not atypical whatsoever to have a lot of the more sensitive government contracting falling under that umbrella. It's wholly owned. It will be reported holistically at the top coast so there won't be any confusion from your side. But it's just a lot of what we do is sensitive and having a government contracting entity that works directly with the government allows us more flexibility. 
Operator: [Operator Instructions] Our next question comes from Jacob with Lake Street. Please proceed with your question. 
Jacob Stephan : Thanks for taking my questions. So I'm just curious, the revenue rebound you referenced to happen in Q3 here. What -- I mean what kind of rebound are we kind of expecting to see here? Does that get us back to the kind of 2.8 flat with Q1 or...? 
Nicolaus Radford : Yes. And it's -- yes, so if you -- what we had previously had mentioned, we had said this year was going to be -- the quarters are going to be relatively similar in some fashion, and in Q2 would have a bit of a dip. Because we knew we were in this moment of renegotiating some of these contracts and sometimes they can take a little longer. So I think it's really worth focusing however, that on the commercial side, which is really where we feel like the longer-term growth comes from, the efforts of production, and now we're seeing those units come off the assembly line and get under contract. That's the momentum build.  The government source revenue, which is very helpful and also leads to its own upside, a little bit of decline in Q2 is not representative of our performance. It's representative of some of the negotiations we had been kind of engaged with. So Q3 will rebound back to where we've been running before and likely to stay until we see the appreciable pickup that we're seeing on the commercial side. And a lot of that will be realized in the coming quarters. So yes, I mean, that's the short of the long. 
Jacob Stephan : Okay. No, that's understood. That's helpful. And then just kind of on the $15 million of non-dilutive financing. So what kind of revenue levels can we expect to see with that $15 million? I mean, how far does that get you kind of down the road here before we look at the bigger round. 
Nicolaus Radford : Yes. So we've closed the first five in July, and we're currently working on closing the balance of it. And the market reception is pretty high, and given the capital-intensive nature, we want to keep expanding the fleet. And so we are also in very advanced discussions, as you mentioned, but that -- the additional round. And so we want to keep our foot on the gas pedal. The demand signals are very strong, and we have to build hard work and the service organization in order to capture it, and we'd prefer there not to be any delays due to financing. 
Operator: At this time, this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Radford. 
Nicolaus Radford : Thank you for joining us today and for your interest in the Nauticus story and our vision for the future. We are committed to transforming the blue economy through our cutting-edge autonomous robotics technology, and we remain excited to share progress updates with you along the way. Have a wonderful day. 
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.